Operator: Ladies and gentlemen, thank you for standing by and welcome to the Vroom Third Quarter 2020 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Allen Miller, Head of Investor Relations. Thank you and please, go ahead, sir.
Allen Miller: Thank you, Chris. Good afternoon ladies and gentlemen and thank you for joining us on Vroom's third quarter 2020 earnings conference call. Joining me on this call today are Paul Hennessy, Chief Executive Officer; and Dave Jones, Chief Financial Officer. The discussion today may include forward-looking statements about future events, including the expected impacts related to COVID-19. Also, the company may make some forward-looking statements about their operations, earnings potential, liquidity and outlook on the call today. These and other forward-looking statements speak only as of the date of this call and are subject to a number of important factors that cause actual results to differ materially from those in the forward-looking statements, including the risks and uncertainties outlined in today's press release. We direct you to the company's most recent SEC filings, including its quarterly report on Form 10-Q for additional discussion and factors that could cause actual results to differ materially from those in the forward-looking statements. The company may also discuss certain non-GAAP financial measures during today's call. You may find a presentation of the most directly comparable GAAP measures and a reconciliation of those measures in today's press release. With that, I'll now turn the call over to Paul. Paul?
Paul Hennessy: Thanks, Allen, and thanks everyone for joining Vroom's third quarter earnings call. I'd like to start by thanking all of our employees, investors and Board members for all their hard work and support in building a great customer-centric public company. Looking back on the third quarter, I'm very pleased with our performance. Vroom delivered a record number of e-commerce units and achieved record gross profit. E-commerce units were up 59% year-over-year in the third quarter and 31% sequentially and gross profit was up 120% year-over-year and 167% sequentially. As we look at what drove our significant growth in units and gross profit, first and foremost, we see that our teams across the company executed against our playbook extremely well. We leveraged our advanced data science to grow our listed inventory to over 12,000 units at the end of the quarter, a record high, even compared to pre-pandemic levels, offering our customers outstanding selection and great prices. Vroom was able to generate a significant increase in ecommerce gross profit per unit to $2,188, up 39% year-over-year and 104% over the second quarter. We have seen demand during the pandemic shift towards lower-priced vehicles and we have responded to that demand. In doing so, we have demonstrated that we can deliver very strong unit economics over average selling prices in the mid-$20,000 range. This supports our long-range thesis, that as we offer lower-priced vehicles, we'll be expanding our demand and conversion, while at the same time expanding our unit economics. We continue to add capacity in our reconditioning operations throughout the quarter, by adding an additional third-party reconditioning center to our footprint and increasing capacity within our existing locations. We will continue to add capacity to our network as we scale our business and we are confident that our reconditioning capacity is in excess of our sales plan in the current quarter and throughout next year. Consistent with our hybrid asset-light strategy, we were able to successfully expand our reconditioning capacity and our geographic footprint, without incurring any debt or CapEx. The demand for Vroom model broadly and the demand for our products and services specifically remains very strong. There are a number of contributing factors. First, we continue to experience, what we believe are, structural changes in demand for our e-commerce and delivery model. Second, increased inventory drives increased demand and increased conversion, which spins our growth flywheel, as demonstrated by our performance in unit sales growth and improving unit economics. Finally, we've begun to see the early results of our new brand campaign. We launched new spots that showcase Vroom's better way to buy and better way to sell a used vehicle. Our message is clear. With Vroom, you never have to go to a dealership again. Consumers are not only engaging with the brand, but they're also transacting with the brand, on both the buy side and the sell side. Our overall customer experience continues to improve. We've made a series of product developments in our e-commerce experience that streamline the transaction process, reduce friction for our customers and enhance their overall experience, as they engage with the Vroom brand to purchase a vehicle. At the same time, when customers are selling us their car, we continue to improve the service by offering them faster automated appraisals, reduced time in the selling process and a great free driveway pickup service. Our customers love selling us their car. The feedback from customers who sell us their car is simply extraordinary. So when you think about all of the operational executions I just mentioned, increased inventory, driven by improved data science, expanded capacity and reconditioning, increased brand marketing, strong consumer demand to both buy and sell and improvement in our overall customer experience, it becomes apparent why our model is so compelling and we performed beyond our expectations in the third quarter. As we look ahead towards another quarter of significant growth, we will continue to invest in our business to scale our operations and enhance our customer experience. Our outlook for e-commerce unit sales reflects progression over the fourth quarter of the ongoing expansion of our customer experience team, as we ramp up our sales support in anticipation of continued escalating sales growth in the New Year. We're also making investments in our proprietary logistics operations to expand and enhance our last-mile delivery service for our customers. We will continue to optimize our hybrid asset-light approach by levering both our third-party partners and our Vroom-owned operations to rapidly scale our business, maintain our operating flexibility, calibrate our capital expenditures, and position us for substantial growth. And with that, I'll hand over to Dave for further remarks on our financials and our guidance. Dave?
Dave Jones: Thanks, Paul. Good afternoon everyone. Let me unpack the quarter a bit. E-commerce units sold in the third quarter, increased 59% year-over-year, which was a new quarterly record for Vroom, driven by increased inventory and quality demand generation. As Paul mentioned, the e-commerce units were up 31% sequentially, again due to an increased inventory offering. Listed vehicles increased to about 12,300 at the end of Q3 from 5,700 at the end of Q2 and are currently over 13,000. Of the 13-plus thousand vehicles listed today, excluding pending vehicle sales, approximately 72% are available for sale and the remainder are coming soon inventory. We are estimating 10,500 to 11,500 e-commerce units sold for Q4. The midrange of our guidance would imply 25% sequential growth quarter-to-quarter and accelerating 74% year-over-year growth compared to the 59% we experienced in Q3. Our formula is simple, provide a data-driven selection of inventory, world-class marketing to create demand and then we convert that demand. We currently have ample reconditioning capacity, we can create plentiful demand, as Paul mentioned and we are currently expanding our sales platform to efficiently convert that demand. That's our focus in Q4. Through the third quarter, our year-to-date e-commerce units sold has grown 86% year-over-year. And with our strong sequential growth quarter-to-quarter, we are on track for continued strong growth in 2021. At the end of the quarter, we had 18 Vroom reconditioning centers around the country, including our proprietary Vroom reconditioning center in Houston. These 18 facilities provide us with capability to recondition approximately 1,900 vehicles per week. We're confident that, we currently have the capacity to meet our Q4 and 2021 targets. And we're continuing to work with our reconditioning partners on expanding the number of reconditioning facilities, which obviously gives us all the benefits of a widely distributed reconditioning network. In Q3, e-commerce revenue grew 25% year-over-year versus the 59% growth in units, driven by average selling price per unit, which decreased from $31,370 in Q3 of last year to $24,248 this year. As we've mentioned many times, we are data-driven and therefore we acquire inventory based on demand that we see in our data analytics and buying opportunities that we see in the market. That data is moving us towards lower-priced vehicles consistent with our long-term goals. In Q4, we're forecasting an average selling price of $24,500 to $25,500 per unit. Note that we previously provided guidance on total revenue per unit, we’re now guiding on average selling price which is the typical KPI in the industry. Moving on to e-commerce gross profit. We set a record in Q3 at $19.3 million, up 120% year-over-year. E-commerce gross profit per unit was $2,188 in Q3, well ahead of last year's $1,577 and last quarter's $1,075. Remember that we measure gross profit per unit in two pieces: vehicle and product. Vehicle gross profit per unit improved $373 per unit year-over-year as we gained efficiencies in inbound logistics and reconditioning costs. Our product gross profit per unit increased year-over-year from $648 per unit to $886 per unit, despite the reduction in average selling price per vehicle. This increase was driven primarily by higher attachment rates across most products offered. We believe that the very strong used vehicle pricing that we've seen in the industry since around May will moderate in Q4. But we continue to be on track towards our long-term goal of approximately $3,000 of gross profit per unit. In Q4, we'll be selling the inventory that we purchased in Q3 during a 25-year high pricing environment. As such we believe that e-commerce gross profit per unit will be in a range of $2,050 to $2,150 per unit in Q4. Our wholesale business increased about 14% year-over-year to a record 6,166 units primarily due to an increase in wholesale grade units purchased directly from consumers. The wholesale market continued to be strong in Q3, although we do see that market returning to historical pricing levels in Q4. The strong market resulted in wholesale gross profit per unit of $542 in Q3. We expect to see wholesale units of 6,000 to 7,000 in Q4 and gross profit per unit of breakeven to $100 per unit. TDA our sole physical location experienced a 55% decrease in units sold in the quarter, but only a 7% decrease in gross profit per unit. TDA is based in Houston which continues to be a relative COVID hotspot in the country which has impacted foot traffic. In addition, although, we've dramatically expanded our total inventory in excess of pre-COVID levels the supply of used vehicles in Houston has not returned to pre-COVID levels. We believe that TDA will rebound with an eventual recovery in the area but we can't predict at this time when that will be. As we've said in the past we expect TDA to continue to be a decreasing contributor to our future results as our e-commerce business grows. Turning to operating expenses. Our compensation and benefits expense was up approximately 20% year-over-year from $19.1 million to $22.9 million. Including comp and benefit -- included in comp and benefits is approximately $4.2 million of stock-based comp in the current quarter versus only about $600,000 in 2019. We expect to more significantly invest in our people in Q4 in particular around technology, logistics and support functions that need to scale with the business. Outbound logistics increased 100% year-over-year as e-commerce volume increased almost 60% and pricing in the logistics industry remained high. Our outbound logistics cost per unit was $963 in Q3 versus $765 in Q3, 2019. We hope and expect this trend is temporary, but we do expect it will continue through at least Q4 and this dynamic is factored into our guidance. As you would expect, this is a variable expense and will continue to increase with volume. Given that we're hard at work on our hybrid approach to logistics, improving and expanding our proprietary logistics network to achieve operating leverage on this line item while also enhancing our customer experience. Total operating costs per retail unit was $5,943 in Q3 versus $6,124 in Q2. We expect that may be up in Q4 as we invest ahead of future growth. We've provided comprehensive Q4 guidance in today's earnings announcement. And we'd now like to open up the call for questions. Chris?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Colin Sebastian with Baird. Your line is now open.
Colin Sebastian: Great, thanks. Good afternoon. Two questions if I may. The first is on the hybrid logistics rollout. I was wondering if you could provide a little more detail on the time line for that. Is that something that, for example, we can assume will drive leverage as early as Q1 or next year? And then, secondly, just following up, Paul, I think on the comments regarding growth next year, I think you mentioned escalating sales growth. If you could just clarify if that means, accelerating sequential or year-over-year growth or something else? Thank you.
Paul Hennessy: Yes. Happy to take both of those. On the hybrid logistics, I think as everyone knows, we've been doing our own last mile in a couple of markets. And we'll continue now to expand those markets going forward quarter-to-quarter. And so, I would think about that as a slow and steady rollout of last mile. And that's the way to think about that. And then, as far as us getting ahead of and building our plan for growth, we're not guiding out into 2021, but we understand that our growth is accelerating coming out of third quarter going into fourth quarter, and we expect to continue to have strong growth throughout 2021, and that's really what I was referencing. So that's why we're putting these investments in the customer experience now in anticipation of that growth.
Colin Sebastian: Got it. And maybe just -- yes, sorry.
Dave Jones: Sorry, Colin. I would just add to that in terms of leverage, I think we wouldn't expect to get any cost leverage on that in the short-term. Obviously, to the extent we use our own solution we're not using a third party. But I think with scale would come cost leverage. What we do gain obviously is leverage over the consumers' experience, which is a big part of what we're after there.
Colin Sebastian: Okay. And is there any -- are you already acquiring the vehicle fleet now? Or is that something that is planned on beginning next year? In other words, when do the CapEx and OpEx from that initiative start to hit the income statement?
Dave Jones: Yes, Colin. We are acquiring those vehicles now. We think CapEx, primarily related to that effort, will be probably about $4 million in Q4. And then, we'll obviously think more about that into 2021 as we put the plan together and ultimately provide guidance there. But we think about that effort over the long-term as investment of, I think tens of millions, not hundreds of millions. We're not building any facilities around that. We think we've got leverage with our partners there. And so, it's a modest CapEx investment.
Colin Sebastian: Okay, great. Thank you.
Operator: Thank you. And our next question comes from the line of Daniel Powell with Goldman Sachs. Your line is now open.
Daniel Powell: Okay. Thank you for taking my question. Just wanted to ask a little bit about the vehicle GPU improvement you saw in e-commerce. I understand there was improved inbound logistics and reconditioning and sort of more interested on the reconditioning side. Were those improvements in your owned network down in Houston? Or were these -- was this your partner network scaling up more aggressively? Or getting back to a more normalized rate? Just curious to sort of hear where those reconditioning improvements are coming from and sort of how you're pulling those levers. Thanks.
Paul Hennessy: Yes. I think the answer is broadly rather in any particular location. We're buying better. We're buying with enabled data science. We're optimizing reconditioning. And so the short answer is it's not a single location, but rather the entire organization is executing well both on the buy side and the reconditioning side and then we see that in the gross profit per unit numbers.
Daniel Powell: Great. Thank you.
Paul Hennessy: Thank you.
Operator: And our next question comes from the line of Alex Potter with Piper Sandler. Your line is now open.
Alex Potter: Okay, great. Thanks. I was wondering if you could talk through some of the strategies that you're using to increase the size of your inventory. I don't know if that has to do with customer sourcing. Any comments you can provide there would be helpful. And then I guess just broadly, the degree to which you're in control of your own destiny when it comes to increasing inventory size, because I know right now it's a supply constrained environment. So any comments you can provide on inventory?
Paul Hennessy: Yes. Happy to do that. And I think if you look at our overall growth in the quarter from second quarter to third quarter to where we're sitting today and you hear that we're scaling inventory appropriately to match the demand. So we're not feeling those constraints. And also in my opening remarks, I mentioned we're starting to see real traction in our advertising offering customers an outstanding model to sell their car to us. And consumers are taking advantage of that and selling us their car, and also as I mentioned really valuing that experience. And so our strategy is to continue to grow our purchases from consumers, continue to buy from auctions where appropriate to fill in inventory and then continue to leverage other third-party buying opportunities, so that we're looking at our inventory not only to match consumer demand to drive conversion but also to optimize the gross profit associated with that. So we'll be opportunistic in the where and when and how we buy across the broad spectrum of channels.
Alex Potter: Okay, great. Then I know you mentioned you had good attach rates on a lot of different products and that’s why product revenue was up despite the lower ASP. But was wondering if you could maybe elaborate a little specifically on where you're seeing the strength, what types of products and then the extent to which you expect that success to last into these coming quarters? Thanks.
Dave Jones: Hi, Alex. Yes, I think it was pretty broad-based year-over-year. We saw generally -- we offer today obviously financing product to customers. And all of our products are third-party. We don't take the balance sheet risk on any of those. But we offer financing. We offer warranty. We offer gap. We offer tire and wheel. And so we saw some pretty good improvements in attach rate year-over-year. I think as we look forward though, we'll always look to optimize the cash rate. But I think there's other initiatives that are in the works in terms of new products taking friction out of the e-commerce process to improve attach rate. And those are the areas that we look to help us continue to build on that. I think as we go into Q4, it's historically a time of increased depreciation in the market. And so we'll try and balance that with products gross profit per unit. But, yes, that's how we think about products going forward.
Alex Potter: Okay. Thanks very much.
Operator: Thank you. And our next question comes from the line of Ron Josey with JMP Securities. Your line is now open.
Ron Josey: Great. Thanks for taking the question. Paul, I wanted to ask a little more about supply based on what we're just talking about. And I know -- I think you just said you don't believe Vroom is supply constrained. So maybe can you talk a little bit more about how Vroom is positioned for the all-important first half of the year as we go into 2021 for supply, as demand still remains sort of elevated for used cars? And as you talk about that, any insights on, just the overall demand from an October perspective? Did that continue from what you saw for September? Any insights on intra-quarter would be helpful as well. Thank you.
Paul Hennessy: Sure. Supply as I said Ron, I think, we're feeling in good shape. We're positioned ourselves to be selective, because we've got great consumer demand to sell us their vehicles as well as auction market. Wholesale markets have come down. And we see great opportunity to buy cars there. So again, given our size, given our projected sales, and our growth rate we feel like we're in a great position going forward. As far as how are we doing intra-quarter, I guess what I'd say is, I stand by our guidance. We just put guidance out there to give you really good insight based on, everything that we're seeing thus far. And I think feel great about, the numbers that Dave talked about, in terms of e-commerce growth on a year-over-year basis. It's just -- it's strong. So we're feeling really good.
Ron Josey: Great. And maybe I can just ask a follow-up, a different way. Should we expect inventory to build up here, as the quarter progresses? Understood, 72% rate of sale, but as you get ready for 4Q just, be on the lookout for continued inventory growth as we think about...
Paul Hennessy: Yes.
Ron Josey: Okay.
Paul Hennessy: Yes. I mean, we're a scaling business. And we're going to continue to add inventory to the portfolio, because it meets our customers' demand. So I think you've seen us scale well coming out of the lows of COVID. And we'll continue to have the right amount of inventory to match the right amount of demand.
Ron Josey: Great. Thank you very much.
Paul Hennessy: Yes. Sure.
Operator: Thank you. Our next question comes from the line of Zach Fadem with Wells Fargo. Your line is now open.
Zach Fadem: Hey, good evening guys. Another one on the GPPU line, and as you think about all the long-term opportunities here from lower reconditioning costs, lower days to sell, customer-sourced vehicles et cetera. Could you talk about what factors are contributing the most upside today? And as you think about 2021, how should we size these buckets or opportunities, as we move into the New Year?
Dave Jones: Yes, Zach thanks for the question. I think it's a little bit of everything, right? If we think through the whole process Paul mentioned acquisitions, we've automated a majority of our acquiring effort now. We do hundreds of thousands of appraisals per week. And so that's really opened up the opportunities for us nationally for acquiring inventory. And as you know, those are skills that very few companies have. So we're very proud of that. And so I think that gives us opportunities on sales margin. As we then continue to expand our distributed reconditioning network, we've got opportunities on inbound logistics. I mentioned we've got 18 facilities today which is, -- puts us at a real advantage for ingesting inbound inventory from consumers, and from auction, and from different sources. So we think that's a tailwind. You mentioned reconditioning. We've been disclosing defects now for a while. And we continue to hone those skills. And continue to work as hard as we can to set customer expectations both for the consumer experience, but it helps us refine our reconditioning efforts. And so we think, there's a little bit across the board there. We've talked about -- a little bit about product already. So, I think it's a little bit of everything. I think when you think about Q4 obviously, we've got guidance out there for that. But we're ultimately -- we've got a long-term goal to get to $3,000 of gross profit per unit. That's kind of our first stop -- our first station stop on the train. And we feel like we're making good progress towards that. And we'll continue that effort in 2021.
Zach Fadem: Got it. Thanks for that, David. And can you talk a little more about the TDA business? I know it's going to be less relevant over time but you called out disruption in Houston due to COVID. And with a lot of local dealers starting to rebound in that region, can you talk about when you think this business normalizes? And then do you think it's fair to suggest that your e-com units are cannibalizing your TDA units?
Dave Jones: Yes. So look when we think about -- Texas is unfortunately the sickest nation in the state right now, and it definitely affected our foot traffic. As you can imagine we track that pretty carefully. And it is down significantly since COVID hit. So that's certainly a factor for us. We've got concentration there just having the one location. But also as we think about inventory, the supply of inventory in that particular market has not rebounded to pre-COVID levels. And so that's something that we need to try and address as well. And when you think about the expansion of our inventory and our distributed model right now, we're expanding inventory nationally. But in particular to Houston that supply has just been somewhat constrained. So that's a focus for us also in Q4.
Zach Fadem: Got it. Thanks for the time.
Dave Jones: Absolutely
Operator: Thank you. And our next question comes from the line of Nat Schindler with Bank of America. Your line is now open.
Nat Schindler: Great. Hi, guys. Thanks. I'm wondering. Fundamentally, what limits your e-commerce units growth? And what I mean specifically is you grew units by nearly 3,300 year-over-year in Q3. Carvana did 18,000. Obviously, there are cars out there being sold. Carvana though is limited right now. They cannot move cars through their lines fast enough to get them out and have the -- to get their supply out. You guys say you're not. So why can't you suddenly grow at substantially higher rates?
Paul Hennessy: Yes. I guess, what I'd say is that we're certainly working towards creating all of the areas that might constrain our business and opening those up. And as you saw in my opening remarks, acquisition of inventory, check; marketing, check; reconditioning capacity, check. Right now, we are investing in our sales, sales support, sales experience, sales ops to help facilitate those sales. And that's really the last bit of investment around this constraint if you will that we're putting forward, and we think that that does open up continued growth. And honestly, that's exactly the way I described that in my opening remarks that we're really setting the stage for continued growth into 2021 and feel great about that.
Nat Schindler: So we get that. So let me see if I understand this. Right now all the pieces for you to grow substantially more units, multiple times more units than you are currently growing year-over-year, similar not maybe -- whatever that kind of numbers. Is it simply catching up in the sales support? Is it -- all you need is the people on the phone to be able to answer questions? So is that giving bottleneck?
Paul Hennessy: Yes. I would say that's today's bottleneck. But our business -- all those need to rise like in unison. This is a highly connected business. And so you don't want to have too much inventory not enough demand. So you need to regulate the relationship between demand and supply, which is how we build our brand, the amount of dollars we spend to bring in customers. You've got to have the right amount of resources to recondition. So this whole business looks more like something that you regulate, moderate and drive forward. We use the word flywheel rather than a light switch that suddenly, we would be twice the size or 5x the size. These things really need to move in unison or suddenly you get sideways and either not having enough supply to meet consumer demand, which will obviously upset customers and leave us with an excess of inventory. And the opposite would also be true. So it's much more about I would say, controlled and scaled growth, while keeping an eye on profitability so that the whole business moves forward in unison. That's really the trick if you will and we've demonstrated that we can do that. And we like our trajectory and are working to increase that trajectory.
Nat Schindler: Okay. Great. Thank you.
Paul Hennessy: Yes.
Nat Schindler: Sure.
Dave Jones: Thank you.
Operator: Our next question comes from the line of Sharon Zackfia with William Blair. Your line is now open. 
Sharon Zackfia: Hi. Good afternoon. Congratulations on the increase sequentially that you're seeing and expect to see in the fourth quarter. I guess, I'm curious whether you're seeing broad-based strength across the country. I know you called out Houston with TDA. So this is really an e-com question. And then secondarily, are you planning on anything for a Black Friday or a Cyber Monday that we should be aware of?
Paul Hennessy: Yes. Great question, Sharon. We're seeing the demand which is really encouraging broad based. The national demand is strong. And you heard both in my remarks and Dave's remarks that we're feeling great about demand. I mentioned that we're investing to make sure we've got the sales capacity. And so we are not planning anything unique to lower prices to stimulate demand for the fourth quarter because we feel really good about the demand that we've got flowing into the business. So we just don't think we have to throw any what I would call abnormal levers to try to drive demand or conversion.
Sharon Zackfia: Okay. Thank you. 
Paul Hennessy: Sure.
Operator: Thank you. Our next question comes from the line of Chris Bottiglieri with Exane. Your line is now open. 
Chris Bottiglieri: Yes. Thanks for taking the question. I was hoping you could talk about the improvement in inbound logistics costs. You had reconciled that with the higher outbound costs. It seems like most of the outbound costs was -- most -- all of it was on a per unit basis was driven by market rate. Is it just simply because you're moving more of your sourcing or reconditioning in-house to -- I mean sorry to third-party, so there's just no transport? Or what's behind that?
Dave Jones: Yes Chris, I think, you're on to it. The inbound is a much different animal for us than the outbound. As you know we have a partner in Manheim and ADESA. And so the inbound effort in a lot of cases is just moving from an auction lane to the reconditioning facility. And so I would say we have more control over the inbound process. And it's a different vendor too. Typically when we're thinking about inbound logistics it's more -- it's a shorter trip and it's a different vendor that we can have a little more influence over. So that's really the difference.
Chris Bottiglieri: Got you. That makes a lot of sense. And then apologies, if you answered this earlier. But can you talk about -- I mean you had a nice pop in F&I per unit. I think you highlighted some platform changes and some strategic partnerships. Can you just elaborate what's going on there? Just walk us through what you've done to accomplish that type of improvement.
Dave Jones: Yes. So I think it was in the fourth quarter of last year -- we announced our first strategic partnership with Chase. And then we've done those since with Santander and we have a partner, an ally on the financing side. And so I think what we were referring to is the maturing of those relationships. And what we find is as we can push more volume into those relationships, it's a better customer experience. It helps with attach rate. And as a preferred relationship the economics are a little bit better for us. So it's really just a maturing of those partnerships. That answers your question?
Chris Bottiglieri: Thank you. Appreciate it.
Operator: Thank you. And our last question comes from the line of Seth Basham with Wedbush Securities. Your line is now open.
Seth Basham: Thanks a lot, and good afternoon. My question is first around the bottlenecks and the customer experience that you're talking about currently as it relates to sales and customer support. Can you give us some sense of whether or not you've fallen down in your opinion on the customer experience in those areas and whether it's impacted your NPS scores?
Paul Hennessy: Yes. I certainly wouldn't say fallen down. I think, and Seth when we talked in the third quarter, we talked about some of the carrier issues. And when you think about carriers being either delayed incoming or having to pay a premium to get them to come anything that causes the customer a delivery delay has a negative impact on their experience. And so not surprisingly you've seen our response we're going to start taking a lot of this on ourselves. And when you think about the other impact of COVID, one of the things that customers are also concerned about is getting their titles in short order. And many of the DMVs across the country have slowed or closed, which then created a backlog. And so again what are we doing there? We're getting ahead of that. And as the DMV closures have now reopened, we're working through the backlogs of things like titles. Again very, very focused on getting the customer experience right whether it's a delivery issue or whether it's a paperwork issue and those investments are underway now. And we obviously, take that very seriously and believe we're going to have that rectified in Q4.
Seth Basham: All right. That's good news. And my second question is just regarding TDA, I'm surprised at how weak it is and I'm trying to understand a little bit more why as we hear about much better trends from other retailers in that area. I'm wondering whether or not TDA's inventory is also on Vroom's website and so when the lead comes in through Vroom's website and a TDA piece of inventory is sold, is it counted as a TDA sale or a Vroom e-commerce sale?
Dave Jones: Yes, Seth it's Dave. Yes, all of the inventory is on the site. And the inventory that is physically local in Houston then is available for TDA to sell in-store. If a unit is shipped it's an e-commerce unit. And so, there is -- as you can imagine there is some pressure on the TDA inventory from the national model as well. If someone comes in and they say, I like this vehicle. As we're pulling it up for them someone can buy it on the e-commerce model if it's not put on hold. So, it is shared inventory. And so what we've done in the past is ensure that there is an adequate level of inventory there. And as I mentioned in the remarks supply is not returned in at least what we're seeing in that area. And so we're working on some solutions for that right now.
Seth Basham: Understood. Thank you very much.
Operator: Thank you. That concludes today's question-and-answer session. I would now like to turn the call back to management for any closing remarks.
Paul Hennessy: Great. Just a shout out and thank you to all the Vroom employees for all their hard work in delivering an outstanding Q3. And thanks everyone for joining our call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.